Operator: Good afternoon and welcome to the Worthington Industries First Quarter Fiscal 2020 Earnings Conference Call. All participants will be in listen-only until the question-and-answer session of the call. This conference is being recorded at the request of Worthington Industries. If anyone objects, you may disconnect at this time. I'd like to introduce Sonya Higginbotham, Vice President, Corporate Communications. Ms. Higginbotham, you may begin.
Sonya Higginbotham: Thank you, John. Good afternoon and welcome to our first quarter earnings call. Before we begin, I'd like to remind everyone that certain statements made today are forward-looking within the meaning of the 1995 Private Securities Litigation Reform Act. These statements are subject to risks and uncertainties, and could cause actual results to differ from those suggested. We issued our earnings release this morning prior to the market open. Please refer to it for more detail on those factors that could cause actual results to differ materially. This call is being recorded and will be made available later today on our worthingtonindustries website. On our call today are Chairman and CEO, John McConnell; President, Andy Rose; and Vice President and CFO, Joe Hayek. I’ll now turn the call over to John McConnell.
John McConnell: Thank you, Sonya. Welcome and thank you all for joining us for our first quarter earnings call. This quarter certainly had a lot of noise in it. So let's get right to it. I'll turn the call over to Mr. Hayek to start reviewing the numbers.
Joseph Hayek: Thanks John. Good afternoon, everybody. In Q1, we reported a loss of $0.09 a share versus earnings of $0.91 a share last year. There were several unique items in the quarter, including the following; pre-tax restructuring and impairment charges of $45 million primarily related to our engineered cabs business and our decision to write-down the 10% investment we have in our steel joint venture in China. These charges reduced earnings in the current quarter by $0.65 per share. The prior quarter included impairment charges of $1.4 million or $0.01 per share. As we mentioned in our press release this morning, we are actively exploring our strategic alternatives for the cab business, including but not limited to the possible sales of majority interest. Our estimated inventory holding losses were $8.4 million or $0.11 per share in the quarter compared to a gain of $14 million or $0.17 per share in the prior year quarter.  We incurred a pre-tax charge of $4 million or $0.06 per share related to the early extinguishment of our 2020, 6.5% public bonds, which we refinanced in August using cash on hand and an issuance of longer-term Euro denominated debt with an average interest rate of 1.76%. In our cylinder business, we recognized a pre-tax profit of $12.8 million or $0.17 per share related to the early termination of the customer take-or-pay contract, which effectively pulled some future earnings into the current quarter. Consolidated net sales decreased by 13% to $856 million in Q1 from the prior year quarter, due to lower direct shipments and lower average selling prices in steel processing. In addition to declining steel prices which impact our revenues and demand, many of our markets are seeing very little or no growth, and we believe economic conditions, trade wars, tariffs, and uncertainty have impacted behaviors both in the U.S. and in Europe. Our gross profit declined in the quarter by $26 million from Q1 of last year to $117 million, primarily driven by the $22 million unfavorable swing in pre-tax inventory holding losses, and lower direct volumes of steel partially offset by improvements in cylinders and the pull forward of the margin dollars related to that cancelled take-or-pay contract. Premium steel processing net sales of $523 million were down 21% from Q1 of 2019 due primarily the lower direct volumes and lower average direct selling prices driven by declining steel prices. Total ship tons were down 9.3%, with direct shipments down 15.4% and total declining 1% from last year's record first quarter. Direct tons were 54% of mix compared to 58% in the prior year quarter. As we discussed on previous calls, we believe that last year, customers were building inventories due to rising steel prices, which peaked in July. While this year customers have been destocking to reduce and maintain low inventory levels with the recent low point in steel prices occurring in July of 2019. Now, we believe year-over-year destocking is beginning to moderate. We did continue to see some softness in Q1 automotive volumes due to reduced North American auto builds year-over-year, and we saw weakness in agricultural end markets. Operating income for steel processing of $6 million was down $33 million from Q1 last year, driven by the negative swing of approximately $22 million in inventory holding gains or losses combined with lower direct volumes. Due to continuing decline in steel prices, we do expect inventory holding losses will continue into Q2 of 2020. That said, we also believe that our steel processing team is managing that business very well in a difficult environment and is maintaining and in certain markets increasing the market share, while remaining focused on long-term growth and profitability. Turning to pressure cylinders, net sales were $304 million up 1% over the prior year quarter.  Operating Income of $30 million was up $15 million from Q1 of last year, excluding the $12.8 million benefit related to the take-or-pay contract within our industrial products business and impairment charges in the prior year, cylinder operating income was up 4% year-over-year due primarily to improvements in the oil and gas business and in the industrial products business. Cylinder end market conditions in the U.S. were stable, our operations in Europe continued to face headwinds due to the economic conditions in those geographies. In Engineered Cabs, net sales were up 3% over Q1 of last year driven by a favorable product mix. Cabs reported operating loss before restructuring of $4.5 million, was $200,000 worse than the prior year quarter. As we mentioned earlier, we are actively exploring our strategic alternatives with this business, and we recognize pre-tax restructuring and impairment charges of $41 million in the quarter. Our cabs business has continued to make improvements and has positioned itself very well for the future, but we feel that undertaking this evaluation of alternatives is the right thing to do for both the business and for our shareholders. Turning to our JVs, equity income during the quarter was $25 million, down $5 million from the prior year quarter, $4 million of that decrease was due to a charge associated with our decision to write down our 10% investment in our steel joint venture in China. Our equity income from WAVE increased by $1.9 million, Serviacero was down $2.9 million, primarily due to inventory holding losses. We received $30 million in dividends from unconsolidated JVs during the quarter. Turning to the cash flow statement and the balance sheet. Cash flow from operations was $64 million in the quarter. We received $9 million of proceeds from asset sales primarily related to the divestiture of our cryogenics business in Turkey. We invested $22 million on capital projects, reduced our debt by $50 million and we paid $13 million in dividends and $30 million to repurchase 750,000 shares of our stock. Today, the board declared a $0.24 per share dividend for the quarter payable in December of 2019. I'll close with the balance sheet. Funded debt at quarter-end was down $50 million sequentially to $699 million. Our interest expense of $9 million was down slightly from the prior year quarter. As we mentioned earlier, during the quarter, we called our $150 million 6.5% coupon bonds that were due in April 2020. We incurred a pre-tax charge of $4 million to call the bond. We were very pleased to be able to refinance them using cash on hand and issuing roughly $100 million of long-term Euro denominated notes maturing in 2029, 2031, and 2034 with an average interest rate of 1.76%. Based on current debt levels, this refinancing should reduce our future interest expense run rate by approximately $2 million per quarter. We ended the quarter with consolidated cash of $46 million and $548 million available under our revolving credit facilities. Our adjusted EBITDA over the last 12 months, which includes $13 million charge for the tank replacement program was $302 million, and our net debt to trailing EBITDA leverage ratio is roughly 2x. At this point, I'll turn it over to Andy.
Andy Rose: Thank you, Joe. Good afternoon, everyone. Well, our first quarter had some challenges primarily driven by continued steel price volatility and tariffs. We accomplished a lot during the quarter and are positioning ourselves well for the balance of the year. Our recent focus has been on cleaning up underperforming and non-core assets. During the last several months, we extended our alternative fuels business in Turkey and wrote-off the value of our strip steel joint venture in China. We've also been engaged in a review of strategic alternatives regarding our engineered cabs business, and hope to have additional information in the coming months regarding our path forward. Our goal remains that all of our businesses achieve year-over-year growth in EBITDA and return our cost of capital. And as we manage our portfolio into the future, our goal is to raise our overall cash return on investment. In the meantime, our cash flow remained solid, we're using that cash to reward shareholders in other ways. We refinanced long-term debt using some of that cash and will save almost $8 million per year in interest costs at current debt levels. We continue to see value in our shares and repurchased 750,000 shares during the quarter. And while we did not complete any acquisitions, we've seen some increased activity around our core that is encouraging. A lot has changed in the past year at Worthington, with new leadership in many of our businesses and a renewed commitment to dangler riving shareholder value. This is not an industry, there is not an industry in America that is not being disrupted in some manner right now. And ours is no different, whether it's electric vehicles, cloud-based data analytics, or robotics, all of these forces are accelerating change around us. Change creates opportunity. And we expect to be leading this change not watching it pass us by. We have a talented group of leaders charting our course and an excellent workforce that is the key ingredient to delivering success. Thanks for your continued support of  Worthington. John?
John McConnell: Andy, thank you, good job. Chris, you can take any questions that you may have.
Operator: [Operator Instructions] And first we will go to line of Martin Englert with Jefferies. Please go ahead.
Martin Englert: So, within steel processing, even when adjusting for the inventory holding loss, the operating profits per ton seem quite low. Can you talk about what's driving that? Exactly is that something to do with mix, there may be something else and then also touch on the magnitude of inventory holding losses in fiscal 2Q that you might be anticipating?
John McConnell: Sure, I will take the second one first. We do expect inventory holding losses in Q2, we think that they'll be two-thirds of what they were, this is like - it's a little early, but two-thirds what they were in Q1. And with respect to steel processing generally getting outside of FIFO volume is a significant contributor there. We had - we were down in direct tons, 88 tons year-over-year, for the quarter. And so, our margins have actually hung in there pretty well, but But when you have lower volumes like that, especially year-over-year, you have some challenges.  We also had a couple of two or three week outages that were planned, that were very necessary and beneficial for our facilities to do some maintenance and do some things like that, but as you know when you have an outage like that, that's planned to build inventory ahead of that in a declining steel price environment like the one that we had, ultimately that hurt us a bit on the P&L side as well.
Martin Englert: The FIFO inventory holding losses that you called out for the quarter, that included the inventory build as well or that would be exclusive of the implications there?
John McConnell: That is separate from that number.
Martin Englert: That is separate, any rough estimates on maybe what the headwinds would have been from the holding losses on the inventory build, and then also anything else associated with the outage?
John McConnell: Yes, the outages would have - would just because of the dynamics that took place in terms of the way that steel prices declined, that was north of $4 million.
Martin Englert: Okay, so $4 million in outage expense, and then some other amount of inventory holding losses above and beyond the $8 million that you called out from also associated with the outage?
John McConnell: No, no, no - the outages really, is that number.
Martin Englert: Okay.
John McConnell: But the losses were on top of that.
Martin Englert: Okay, [indiscernible] outage. Okay, and within cylinders, can you provide some more detail on the take-or-pay contract there that was cancelled, what happened, what was going on with that, and then also, what you're seeing regarding more recent demand trends with industrial and consumer products relative to where you are at a current quarter here, where things are trending today?
John McConnell: Sure. So, with respect to the contract and bringing forward of those margin dollars, some of the nature of our business is that we do significant amount of engineering work, tooling work to spool up for long-extended programs. In this case, we were working with a very large Japanese OEM, on some hydrogen fuel cell oriented tanks, did a fair amount of work, we're set reserved factory capacity for the next 18 months because of some shifts that they had in platform. And in demand, they decided not to move forward and has essentially terminated that contract. As a consequence of that, we will receive the cash flows that would have been associated with us performing over that contract over the next five or six quarters. That's the amount that you see there, that would have been from a cash flow perspective spread out over five or six quarters because of an accounting requirement and the fact that we've agreed to that, we were compelled to recognize all of that in Q1. So effectively, what we are doing is bringing forward those margin dollars, we would have gotten for the next $5 or $6, where we recognize the cash that comes in, in this quarter. With respect to cylinder markets, generally, I think domestically things, things are pretty reasonable. We think that growth is moderate. And we think we're doing a good job maintaining or growing our share. We have seen some softness in Europe. We have facilities over there, and we have businesses in those geographies, our teams there are doing a terrific job in a pretty challenging environment.
Martin Englert: Can you remind us what your regional split is for that business between NAFTA and the Euro market and anything else there?
John McConnell: Sure, that’s spliced little bit but the European piece of cylinders business is usually between about 18% and 20% of the total.
Andy Rose: And it's primarily industrial products.
Martin Englert: Okay. Any specific industrial end markets that is more heavily weighted towards?
John McConnell: In Europe, it's still high pressure and LPG, primarily.
Martin Englert: Okay, thanks for all the detail. And if I could one last one. Do you have a budgeted CapEx number for the year and anticipated tax rate?
John McConnell: Yes, probably $90 million to $100 million something like that would be a good estimate. We get to $22 million in the first quarter.
Andy Rose: And, we know, I mean, it'd be a bit of a guess Martin, but we would say in terms of tax rate 23% to 25%.
Operator: Next we will go to Phil Gibbs with KeyBanc Capital Markets. Please go ahead.
Phi Gibbs: The corporate or other loss in the quarter, I think was around $5 million that had been zeroed out over the last several quarters, anything that we should be thinking about there in terms of persistence or is that more of a one-time item related to some of the things that you're doing here?
Joseph Hayek: Yes, I would say it's probably more one-time. Primarily, the charge there is related to an increase in healthcare costs, and it's a combination of a slight uptick in our overall healthcare costs, and then a large sort of one-time event. We're self-insured and so that flows through that other line item. And then there's also some lesser -- to the lesser extent, there's some legal costs that are in there.
Phil Gibbs: So, should I model something being modest or pretty much?
Joseph Hayek: For the future?
Phil Gibbs: Yes.
Joseph Hayek: Yes, I mean that line item should be relatively flat going forward, but we do get these sort of signal upticks like the one we had here.
Phil Gibbs: I know you've had a lot of things moving around in WAVE the last call it 12 to 18 months. And I think one of them was in allocation change with your partner and one of them was a sale of an international business. So when I look at WAVE, $24 million of JV profit relative to $22 million last year. Are those comps clean? Or do we have some variation in terms of what we're looking at because correct me if I'm wrong, Europe is not in the numbers now, but they were last year. And I know that they may have not been all that accretive to you all. So I'm just trying to understand the comparison.
Joseph Hayek: The way I would answer that one, Phil is it's a pretty clean number, the sale of Europe actually is expected to close next week, if you can believe that. It's been ongoing because there is some regulatory issues but Europe was a very small percentage of WAVE’s profit. So it really shouldn't affect our number much more than $0.25 million to $0.5 million every quarter or something like that.
John McConnell: Yes, but we've also backed that allocation change.
Phil Gibbs: When the proceeds relative to that sale, have you realized those? Are you still those on the comp?
Joseph Hayek: About two-thirds of them, we have realized the proceeds. We've actually been paid the full amount, but it's being held in escrow till the deal closes.
Phil Gibbs: Okay, so that's on your, so that has been realized on your financial statements at this point?
Joseph Hayek: Except for the last portion of proceeds, which is not, not, it's less than $10 million.
Phil Gibbs: Okay. And the growth that you saw in the profit in WAVE year-over-year, is that more related to volume or spread just trying to gauge the demand and the mix environment?
Joseph Hayek: It’s actually both here in the U.S., their volumes were up quarter-over-quarter and their spreads were up as well.
Phil Gibbs: Their volumes were up year-over-year you mean relative to WAVE, yes?
Joseph Hayek: Yes.
Phil Gibbs: And then last question for me is just assuming that we for simplicity take out, Engineered Cabs moving forward just out of the numbers, any estimate in terms of how much D&A is tied to the business?
Joseph Hayek: We'll get to that number rather quickly.
Phil Gibbs: Thank you.
John McConnell: Phil, you’re talking about the depreciation and amortization within Engineered Cabs?
Phil Gibbs: Yes, so if you were to sell it or, wind it down, I mean, how much of depreciation is associated with that?
Joseph Hayek: We will work on that number.
Phil Gibbs: Okay, thank you.
John McConnell: Obviously, the majority of it's written off now, so there won't be any going forward. But I know what you're trying to do. You're not trying to figure out how much is coming out.
Operator: Next we will go to John Tumazos, Very Independent Research. Please go ahead.
John Tumazos: Thank you for that Euro denominated financing and all the good housecleaning, I think the Euro went down more in the last month and the interest rate you're going to pay?
John McConnell: Interesting times for sure.
John Tumazos: I was in Greece and I had some leftover Euros that got to be valued. So with the 92,000 ton fall on steel processing volume in the quarter, that's the tons that you took title to, what was the rate of change of total tons?
John McConnell: The direct ton is actually 88,000 tons. And so that was the direct tons number, I'll make sure I don't give you the wrong one. Direct tons declined little over 15%, toll is just 1%.
John Tumazos: So it was basically a switch from direct to toll?
John McConnell: You got it, the mix shifted.
John Tumazos: So it wasn't really a volume decline per se? What do you think is the natural rate of growth of the steel processing business, the cylinder business and WAVE as they exist today for the top class?
John McConnell: We like to think of them as around GDP. And we're pretty there will be some markets that grow more rapidly than that within our businesses and with our end-markets, there will be some that grow slower than that. But overall, we think of them as GDP over the mid-term. And we're very comfortable operating in an environment like that because we think that the way that we go about our business through innovation, through lean manufacturing, through selected M&A will allow us to have lots and lots of opportunities to take share from those and ultimately longer term grow more rapidly than our markets do.
John Tumazos: The volumes fell a lot in the industrial cylinders double-digit, and around 5% in the consumer cylinders. Was there anything in particular that might explain that?
John McConnell: Yes, that’s a great question, we should have mentioned earlier, 90% of that decline is because of the divestitures. If you recall at the end of the calendar year last year, we divested of our brazing and soldering operations. That's the lion's share of that decline in volume.
John Tumazos: Thank you very much.
John McConnell: Certainly, thank you.
Joseph Hayek: To answer Phil's question on the amount of depreciation and amortization for Engineered Cabs, it's about $5.5 million per year.
Operator: [Operator Instructions] And then we do have a follow-up from Phil Gibbs. Please go ahead.
Philip Gibbs: Thank you. So if I'm going to take the $12 plus million of last or future gross profit that you pulled into this quarter, given the take-or-pay, the hydrogen contract? I would imagine revenue from that contract would have been a multiple of that over what you thought the life would have been. So how do you replace moving forward? How do you replace that lost, lost business because it's a pretty big chunk and I know that's pretty specialized equipment that you're running, those materials on, just give us a flavor for that market?
Joseph Hayek: It's a very good question that is a business for us. So you illustrate the point, which is - we've got to go get there. And we're fully aware of that. And our commercial teams and our engineering teams are out talking to lots of customers, that sometimes a good thing to have capacity in a market where the products that you have are desirable and with the world in different places moving in different directions in terms of the fuels that we use. We feel pretty good about our ability to replace that not tomorrow but over the course of the next several months.
Philip Gibbs: And this is largely you're making this stuff in the U.S. or out of Europe?
Joseph Hayek: It’s first produced in the U.S., it might end up in a geography other than the U.S.
Operator: And we do have a follow-up from John Tumazos. Please go ahead.
John Tumazos: With benchmarks for hot rolled, she's having fallen June last year 924 to about 525 June this year then bouncing up and eroding a little bit. Can we assume that when November is over that $400 is roughly washed through your system and it’s steady state?
John McConnell: Yes, I mean assuming prices stay stable where they are, the answer is yes.
John Tumazos: Further, your cash balances close at $45.6 million at the end of August. When business goes to the tubes, you generate a little bit of cash, lower receivables and lower inventory values. When business picks up, how much money do you think you'll put back into working capital?
John McConnell: That's a relatively complex question because a lot of it depends on what steel prices do John in terms of how much, the actual tons of inventory we don't expect to change significantly but the price certainly can affect that. But obviously, if business goes up 10%, then there's an equation there.
John Tumazos: Thank you. I thought your guess would be better than mine. Thank you.
John McConnell: Perfect, it’s not an easy one to answer.
Operator: And with no further questions in queue, I will turn it back to the company if you have any closing comments.
John McConnell: Thank you all again for joining us with us reviewing the first quarter. We look forward to talking to you at the end of the second. Thank you.
Operator: Ladies and gentlemen, that does conclude your conference. Thank you for your participation. You may now disconnect.